Operator: Good day, and welcome to Phillips Edison & Company's third quarter 2025 earnings call. Please note that this call is being recorded. I will now turn the call over to Kimberly Green, Head of Investor Relations. Kimberly, you may begin.
Kimberly Green: Thank you. I am joined today by our Chairman and Chief Executive Officer, Jeffrey S. Edison, President Robert F. Myers, and Chief Financial Officer John P. Caulfield. Following our prepared remarks, we will open the call to Q&A. After today's call, an archived version will be published on our Investor Relations website. Today's discussion may contain forward-looking statements about the company's view of future business and financial performance, including forward earnings guidance and future market conditions. These are based on management's current beliefs and expectations and are subject to various risks and uncertainties as described in our SEC filings, specifically in our most recent Form 10-Ks and 10-Q. In our discussion today, we will reference certain non-GAAP financial measures. Information regarding our use of these measures and reconciliations of these measures to our GAAP results are available in our earnings press release and supplemental information packet, which have been posted on our website. Please note, we have also posted a presentation with additional information. Our caution on forward-looking statements also applies to these materials. Now, I would like to turn the call over to Jeffrey S. Edison. Jeff?
Jeffrey S. Edison: Thank you, Kim, and thank you, everyone, for joining us today. The PECO team is pleased to deliver another quarter of solid growth. Given the continued strength of our business, we are pleased to increase our guidance for NAREIT and core FFO per share. The midpoints of our increased full-year 2025 NAREIT and core FFO per share guidance represent a 6.8% growth and a 6.6% growth, respectively. I would like to thank our PECO associates for their hard work in maintaining our unique competitive advantages and driving value at the property level. The market continues to focus on tariffs and U.S. economic stability. As it relates to PECO's grocers and neighbors, we continue to feel very good about our portfolio. PECO has the highest ownership percentage of grocer-anchored neighborhood shopping centers within our peer group. 70% of our ABR comes from necessity-based goods and services. This provides predictable, high-quality cash flows and downside protection quarter after quarter. This also limits our exposure to discretionary goods, which we believe are at risk of greater impact from tariffs. PECO continues to deliver strong internal growth. Our neighbors benefit from their location in the neighborhood, where our top grocers drive strong foot traffic to our centers. We have high retention and strong leasing demand from retailers wanting to be located at our neighborhood centers. And we continue to see a healthy pipeline for development and redevelopment. In addition, the PECO team continues to find smart, accretive acquisitions that add long-term value to our portfolio. Including assets and land acquired subsequent to quarter-end, this brings our year-to-date gross acquisitions at PECO share to $376 million. A few shout-outs for the quarter: The operating environment and PECO's ability to deliver growth continues as it has for the past several years. Our leasing activity and occupancy remained very strong. We continue to operate from a position of strength and stability. Moving to the transactions market, activity for grocery-anchored shopping centers remains competitive. The strength of our activity in the first half of the year allowed us to be more selective in the second half. We remain committed to our unlevered return targets, and we remain confident about our ability to deliver on our full-year acquisition guidance. Including acquisitions closed after the quarter-end, we acquired $96 million of assets at PECO's share since June 30. This activity includes two unanchored centers. These centers offer reliable fundamentals similar to our core grocery-anchored properties with a stronger long-term growth profile. They are located in the same trade areas as our grocery-anchored centers, growing suburban markets with strong demographics. With a focus on everyday retail, neighbors located at these centers are delivering necessity-based goods and services within their respective communities. We will share more details on why we believe these everyday retail centers are a natural complement to PECO's long-term growth strategy during our upcoming virtual business update. This webcast is planned for December 17. We also continue to make great progress with our joint ventures. During the third quarter, our JV with Lafayette Square and Northwestern Mutual acquired The Village at Sand Hill. This is a grocery-anchored shopping center located in a Columbia, South Carolina suburb. Our pipeline for the fourth quarter and 2026 also includes additional assets for our JVs. Lastly, we are actively expanding our development and redevelopment pipeline. We build in our parking lots and acquire adjacent land to our centers. And this quarter, we acquired 34 acres of land in Ocala, Florida. While it is too early to share details of this project, we are working with partners to build a grocery-anchored retail development. As you know, these take a long time. We will share more details on this project as we are able to update you. We are very pleased with our results for the quarter and our outlook for the balance of 2025. And we are actively growing our leasing and transaction pipelines for 2026. We believe we are the most aggressive operator in the shopping center space. The PECO team is continuously looking for opportunities to grow our business better. We look forward to updating you on our long-term growth plans during our December 17 business update. I will now turn the call over to Bob. Bob?
Robert F. Myers: Thank you, Jeff, and thank you for joining us. PECO continues to deliver strong leasing activity driven by our grocery-anchored neighborhood centers and necessity-based neighbor mix. This momentum is clear in our operating results again this quarter. Our neighbor retention remained high at 94% in the third quarter while growing rents at attractive rates. High retention rates result in better economics with less downtime and dramatically lower tenant improvement costs. PECO delivered record-high comparable renewal rent spreads of 23.2% in the third quarter. Comparable new leasing rent spreads for the quarter remained strong at 24.5%. Our continued strong leasing spreads reflect the strength of the retail environment. We expect new and renewal spreads to continue to be strong for the balance of this year and into the foreseeable future. Leasing deals we executed during the third quarter, both new and renewal, achieved average annual rent bumps of 2.6%. This is another important contributor to our long-term growth. Portfolio occupancy remained high and ended the quarter at 97.6% leased. Anchor occupancy remained strong at 99.2%, and same-store inline occupancy ended the quarter at 95%, a sequential increase of 20 basis points. Given our robust leasing pipeline, we expect inline occupancy to remain high throughout the remainder of the year, which is very positive. As it relates to bad debt in the third quarter, we actively monitor the health of our neighbors. Bad debt remains well within our guidance range. We are not concerned about bad debt in the near term, particularly given the strong retailer demand. We continue to have a highly diversified neighbor mix with no meaningful rent concentration outside of our grocers. Turning to development and redevelopment, PECO has 22 projects under active construction. Our total investment in these projects is estimated to be $75.9 million, with average estimated yields between 9-12%. Year-to-date, 14 projects stabilized through September 30. This represents over 222,000 square feet of space delivered to our neighbors and incremental NOI of approximately $4.3 million annually. As Jeff mentioned, we continue to grow our pipeline of development and redevelopment projects. This activity remains an important driver of our growth. I will now turn the call over to John. John?
John P. Caulfield: Thank you, Bob, and good morning and good afternoon, everyone. Our third quarter results demonstrate what we have built at PECO, a high-performing grocery-anchored and necessity-based portfolio that generates reliable, high-quality cash flows. As Jeff said, the PECO team continues to operate from a position of strength and stability. Third quarter NAREIT FFO increased to $89.3 million or $0.64 per diluted share, which reflects year-over-year per share growth of 6.7%. Third quarter core FFO increased to $90.6 million or $0.65 per diluted share, which reflects year-over-year per share growth of 4.8%. Turning to the balance sheet, we have approximately $977 million of liquidity to support our acquisition plans. We have no meaningful maturities until 2027. Our net debt to trailing twelve-month annualized adjusted EBITDAR was 5.3 times as of 09/30/2025. This was 5.1 times on the last quarter annualized basis. As Jeff mentioned, we are pleased to update our '25 guidance. We are reaffirming our guidance range for 2025 same-center NOI growth. This reflects solid full-year growth of 3.35% at the midpoint. As we have said previously, the timing of our same-center NOI growth in 2024 presents difficult comparisons to 2025. Specifically, the recoveries in 2024 were weighted to the fourth quarter, whereas they are more even quarter to quarter in 2025. Our current forecast for 2025 reflects same-center NOI growth between 1-2%. We estimate this growth rate would have been closer to 3% if the recoveries in 2024 were more evenly distributed. While we are not providing 2026 guidance at this time, I will remind everyone that we believe this portfolio can deliver same-center NOI growth between 3-4% annually on a long-term basis. As Jeff mentioned, our increased guidance for 2025 NAREIT FFO per share reflects a 6.8% increase over 2024 at the midpoint, and our increased guidance for 2025 core FFO per share represents 6.6% year-over-year growth at the midpoint. Our guidance for the remainder of 2025 does not assume any equity issuance. Importantly, our FFO per share growth is a function of both internal and external growth. PECO is not dependent on access to the equity capital markets to drive our strong growth. As it relates to dispositions, the PECO team plans to sell $50 million to $100 million of assets in 2025. Year-to-date, including activities subsequent to quarter-end, we sold $44 million of assets at PECO share. The private markets are more appropriately valuing anchored shopping centers than the public markets. This gives us an opportunity to lean into portfolio recycling. We have an active pipeline for the fourth quarter, and we have plans to do even more in 2026. We plan to share more details during our December 17 business update. Long-term, the PECO team is focused on recycling lower IRR properties into higher IRR properties to help drive strong earnings growth. We believe that performance over time and consistent earnings growth should be rewarded in the capital markets. We also reaffirmed our 2025 full-year gross acquisitions guidance. We believe our low leverage gives us the financial capacity to meet our growth targets. We have diverse sources of capital that we can use to grow and match fund our investment activity. Match funding our capital sources with our investments is an important component of our investment strategy. We continue to believe the PECO platform is well-positioned to deliver mid to high single-digit core FFO per share growth on an annual basis. We also believe that our long-term AFFO growth can be higher as more of our leasing mix is weighted towards renewal activity. We believe our targets for growth in core FFO and AFFO will allow PECO to outperform the growth of our shopping center peers on a long-term basis. We look forward to updating you on our long-term growth plans during our December 17 business update. In addition to what Jeff mentioned, we plan to share preliminary 2026 guidance. We also plan to share new analysis and insights related to our unanchored investments or everyday retail centers. We look forward to updating you on our internal and external growth plans. With that, we will open the line for questions. Operator?
Operator: Thank you. For any additional questions, please re-queue. And your first question comes from the line of Andrew Reel with Bank of America. Please go ahead.
Andrew Reel: Good afternoon. Thanks for taking my questions. First, can you just share more on your thinking around acquiring development land at this point in the cycle? Why is right now the right time to pursue opportunities like this? And are you evaluating other ground-up development sites at this point in time?
Jeffrey S. Edison: Well, Andrew, thank you for the question. Bob, you want to talk a little bit about this specific project?
Robert F. Myers: Yes, absolutely. Thanks, Jeff and Andrew. Thank you for the question. We are really excited about this opportunity. We had a nice partnership with a national grocer that was interested in the growth aspects of Southern Ocala, 10,000 new homes in residential opportunities coming into the market over the next five years, a lot of positive growth. It's going to be a 34-acre site. And we will end up selling part of it to the grocer, and then we will have seven outparks available for us to continue to do what we do year over year. I mean, we have developed 51 out parcels in our portfolio over the last five years. And we will either do ground leases or build to suit. So this is kind of a one-off scenario. Will we continue to look for sites in the future? Yes, if it makes sense. In this particular asset, we are going to deliver about a 10.5% unlevered return. So we feel really good about not only being some of the landlord's largest of the retailers' largest landlords, but this is a great opportunity for us to step in, in the right market.
Andrew Reel: Okay. Thank you. That's helpful color. And then if I could just ask a follow-up. Could you maybe just provide more detail on the makeup of your current acquisition pipeline and just how much more incremental volume could you potentially close before year-end? I know Jeff, you had mentioned you're being a little more selective in the second half now. So just curious on where we might shake out relative to the acquisition range. Thank you.
Jeffrey S. Edison: Yes. I'll give you and Bob follow-up as well. The way we're looking at it, kind of given you guidance. We're pretty comfortable. We're going to meet the bottom end since we're already about $25 million above the bottom end of the raise that we've given. And we continue to see good product and we're continuing to see a volume of product that we feel comfortable will be in good shape, but in terms of our ability to buy. As you know, going quarter by quarter is a little bit difficult because stuff moves month or two and that's just the closing process. So it's always a little bumpy. Feel really good about the products we bought. We had a really great first half. It's a little slower, but I would tell you that we feel good about what we're getting. And we bought $400 million the midpoint is about $400 million this year. It was $300 million last year. Pretty good that's a pretty good increase. And we see that continuing to happen. So Bob, anything else on the
Robert F. Myers: Yes. I would like to add that we've acquired 18 assets this year for $376 million and we do have deals that have been awarded and under contract to close before year-end. So we feel really good about we're going to be well within the range. The other thing I would mention is just we're delivering unlevered returns above a nine in all these categories. So we feel real good about the acquisitions. The other thing I would mention is these blend to like a 91.5%, 92% occupancy going in. And when you look at our portfolio at 97.7 this continues to give us internal growth in the future for same-center NOI growth. So it is it's a dual path in terms of growing earnings and NOI. We're really excited about what we've acquired so far and early indications would suggest that we're operating them extremely well and we're getting continued leasing momentum.
Andrew Reel: Okay. Thank you very much.
Jeffrey S. Edison: Thanks, Andrew.
Operator: Your next question comes from the line of Caitlin Burrows with Goldman Sachs. Please go ahead.
Caitlin Burrows: Hi, everyone. Maybe sticking on the acquisition side. So looking at leverage now, it's at 5.1 times, which say is totally reasonable. But I guess it sounds like going forward, you might be in or willing to increase leverage. So wondering if you could discuss for a little bit what the kind of upper level is on leverage and how you think about that as a funding source?
Jeffrey S. Edison: Yeah. Caitlin, I'll I'll give you an John follow-up as well. What we've said and continue to believe is we want to be in that 5.5% or below range debt to EBITDA on a long-term basis. And we are we'd be willing to move around that if we had a clear vision of bringing it back down into that sort of mid to the mid-5s to lower 5s. And we're very happy with where we are. We've got good capacity to continue to grow our acquisition. Program. And so it's it's nice to be where we are right now. And if the opportunities come, as as you know, we're prepared to take advantage of them if we can. Anything else John? Nope. I think that's good.
Operator: And then just, as the other kind of source of funds, it sounds like you might lean more into dispositions. And so if we look at the you guys have done historically, you do give great disclosure on the cap rates of the acquisitions versus dispositions. Historically, the dispose have been at higher cap rate. So I was wondering going forward, are there assets that you would be, I don't know, maybe newly looking to sell that would make that process accretive? Or how are you thinking about that acquisition disposition cap rate and kind of the types of properties you'd be looking to sell and who the buyers are and what they're willing to pay for them?
Jeffrey S. Edison: Yeah. John, you wanna talk about them?
John P. Caulfield: Sure. Thanks, Caitlin. So I think the dilution or accretion on their cycling of assets is going to depend on the mix of assets sold and acquired. I mean, as you know, we are IRR buyers and sellers. So we believe that right cycling will be beneficial to our earnings per share over time. And as owners of about 8% of the company, that's really important to us. So I I think as we look at it in terms of we are achieving victory on a lot of these. We've already sold some some properties this year, and we're gonna look to do that. But ultimately, mean, repeat, we believe we can do mid to high single digit FFO per share growth. And although we're not giving guidance until December, I think that is going to be true in 2026 as well. So not exactly answering your question because it's gonna depend upon the mix of the timing of the closing, but but we're managing that very closely. And the relationship you're describing has been true historically, I think it's gonna tighten and improve as we look forward, but it again, it depends upon the mix.
Caitlin Burrows: Thank you. And Caitlin, would just add, I mean, I think the way we think about it is we're going to be trading out of lower growth for higher growth properties and that is the strategy of the disposition program. There is some derisking in that, but mostly it's going to be trading to areas where we can get more growth.
Operator: Your next question comes from the line of Haendel St. Juste with Mizuho. Please go ahead.
Ravi Vaidya: Hi there. This is Ravi Vaidya on the line for Haendel. Hope you guys are doing well. I wanted to ask about redevelopment here and broader redevelopment pipeline. What's your target size for this to be? And how should we consider funding? Is this need primarily through free cash flow or through further dispositions? Thanks.
Jeffrey S. Edison: Okay. Ravi, when talking about that, are you talking about all of our redevelopment, including the outlawed stuff that we're doing? Or is that what you're you're focused on there?
Ravi Vaidya: Yeah. Both ground up new development and redevelopment of existing pads or any k. Outlook kinda work. Great. Okay.
Jeffrey S. Edison: Bob, you wanna take that?
Robert F. Myers: Yeah. No. Absolutely. I appreciate the question. So over the last three or four years, we've generated between $40 million and $55 million in our ground-up redevelopment bucket. And those years we were solving for between a 9-12%. We find that this is a wonderful complement to our same NOI growth and we are hopeful to get 100 to 125 basis points towards it through this pipeline. We have a nice pipeline out for the next three years that would be consistent of approximately $50 million to $60 million a year. To contribute to that. So we don't see anything slowing down on the development side or redevelopment side, and we've seen a lot of success with generating solid returns. Got it. That's helpful. And maybe just one on the on the bad debt Would you say that this quarter's, you know, bad debt expense in the current tenant credit landscape is that appropriate to consider as a a run rate going forward into fourth quarter and into '26? Thanks.
Jeffrey S. Edison: John, you want to take that?
John P. Caulfield: Sure. Thanks, Ravi. So I would say that, yes, I think that, when you look it, whether it be on the same store, total portfolio, we've been between, let's say, seventy five and eighty basis points. I do know that the midpoint of our guidance range is 90 basis points. And it's more just giving ourselves a little bit of the elbow room. I will say for the '25 and for '26, we don't actually see the environment materially changing. So we think that, you know, this 70 to 80 basis points in the range that we have is pretty reasonable. I do think that, you know, again, when you look at at PECO's demographics at $92,000, we are 15% above The US median, and our retailers continue to be very, very successful. So our watch list is lower than, anyone else's and very consistent with historical around 2%. And so we feel really good about it, but I think, you know, this is a good run rate as we look forward.
Ravi Vaidya: Got it. Thank you so much.
Operator: Your next question comes from the line of Ronald Kamden with Morgan Stanley. Please go ahead.
Ronald Kamden: Hey, thanks so much. Just going back to sort of the occupancy and more of the inline occupancy here. You're getting good retention rates. You're you're pushing rents. Remind us what the message is to the team, how much more occupancy upside you sort of think that is there? Is there? And just strategically, how are you guys messaging sort of pushing rents here? At the expense of retention rates? Thanks.
Jeffrey S. Edison: Sure. Bob, you want to grab that one? Yeah, absolutely. So thank you for the question. So currently, we're at like 94.7%. And we believe that we can generate another 125 to 150 basis of inline occupancy. The demand and the retailer interest that we're seeing in all the meetings in our national account team shows very good momentum. The visibility I have out for the next six months, seven months with our pipeline would suggest that we should move in that direction. So feel very good about moving the needle on inline occupancy. I think in terms of growing rent, on the renewal question, in particular at 94% retention, that's a very solid retention number. And I think last quarter, we spent $0.60 a foot in tenant improvements In this quarter, we spent $1 to generate 23.3% renewal spread. So we feel very good about the retention at 94% and the current spreads we're seeing. So again, I don't see any new supply coming online to compete with that. And I think we'll just keep our neighbors profitable and healthy and look towards the future. I don't see anything slowing down. Great. And then if I could ask a quick follow-up, just on the unanchored centers We talked about it last quarter, but as you're sort of looking at more of the opportunities, just what's the update in terms of the opportunity set and sort of the conviction in that strategy? Thanks.
Robert F. Myers: Yes. Another great question. I'm really excited about the strategy. We've acquired eight properties in this category for about $155 million And we've seen very positive momentum operationally. I believe our centers currently from what we paid, were about $300 $3.00 $5 a foot. We are seeing unlevered returns between 10.5-12% early indications. We're seeing new leasing spreads above 45% and renewal spreads above 30%. So again, we're going to continue to define the criteria. You'll hear more about this in our December update. But early indications this is going to be a great complement to growing our same-center NOI in the future. So we're really excited about it.
Jeffrey S. Edison: Thank you. Ron, yes, it's a great question. And one thing, I mean, have built a phenomenal team at leasing. This we kind of look at this as just having more neighbors. We have a way of bringing this finding more neighbors that we can put the machine to work on and get these kinds of returns that Bob was talking about. So we're excited about it. Again, it's as you know, it's a small very small piece of the overall portfolio and it's but it's very consistent with our focus on necessity retail and giving the consumer what they want and being locally smart at the property level. So all those pieces are encouraging to us as well as the results Bob talked about. In terms of investment in that product.
Ronald Kamden: Really helpful. Thank you.
Operator: Your next question comes from the line of Michael Goldsmith with UBS. Please go ahead.
Michael Goldsmith: Good afternoon. Thanks a lot for taking my question. My first question, Jeff, is when you said in the prepared remarks about being more selective in the second half. What do you mean by more selective? Are you looking more on price? Is it more on location? Is it more on shopping center formats? Just trying get a sense of of where that selectivity is leading you.
Jeffrey S. Edison: I think it's it's it's tougher underwriting. It's not a difference in terms of what we like, what we do. But in terms of underwriting, with the potential risks of the stability of the economy, I think we took a tougher we were tighter on some of our rent spreads. We were tighter on some of our pace of leasing. That's really what I'm saying in terms of volume. And that translates into us offering lower prices than than we would at other times to get to that nine unlevered IRR. And so that's I think that's what slowed down some of our our pace a bit. It's important to know that, I mean, at the midpoint, we're buying $400 million of assets on an individual basis. That's the most I think in the space on an individual basis by far. And we think that that is we that's $100 million more than we bought last year. We're taking our share of the market. And I think we've had it's shows the discipline that we've had for thirty years in this business You've got to be disciplined and you've got to make sure that you're not getting ahead of yourself or too aggressive or not aggressive enough. In the market. And that I think that's what we kind of bring to to the market on that.
Michael Goldsmith: Thanks for that. And my follow-up is, right, on the competition, you said it remains competitive. Has gotten any more incrementally competitive in the last quarter? And then just like, if you can provide some color on deals that you don't who are you losing to? Is it is it new yeah. Is it new entrants or or is it kind of the the same folks that are still bidding on I don't yeah, I don't think it's gotten more competitive. I think it's but it's fairly stabilized. I mean, is good demand out there and it is it's the full gamut. I mean, it's some of the REIT peers, it's some of the some institutional players and as well as private players. So you have a pretty wide range of people looking in the space. So that our feeling is that it's kinda it's stabilized at where it is and really has been for the last couple of quarters. And we think that that's kind of going to be is more normalized and probably what we're going to see for the next quarter and certainly or maybe the next few quarters as the and the beauty is with what we've done, we have we look broadly at country and we're looking for that number one or two grocer to buy. And that breadth gives us the ability to find product consistently over, you know, year after year after year. And so we feel comfortable we'll have another good year next year. We're not that's not a concern. It's just it's a little harder shopping to buy than when a lot of others have gotten into the space that we've been in for thirty years.
Michael Goldsmith: Thank you very much. Good luck in the fourth quarter. Thanks.
Operator: Your next question comes from the line of Omotayo Okusanya with Deutsche Bank. Please go ahead.
Omotayo Okusanya: Hi, yes. Good afternoon, everyone. I was wondering if you could just give a view on the outlook for grocers in general. I think, your your sales are going up. But I just but, again, we just gotta hear a lot conflicting noise around you know, more selective consumer, you know, inflation is kind of causing volumes or trips to to grocers to kind of slow down. Just kind of if you just kind of give us an update in general kind of what you're seeing and how you think that space is evolving, we'd appreciate that.
Jeffrey S. Edison: Yeah. I I want to take a shot, Bob, to join in as well. From our conversations with the grocers, they continue to see a very resilient customer. And we're not hearing any sort of pullback, any kind of like dramatic concerns. It's kind of business as usual and in some for some of our grocers, see it as really, really positive. I mean, when you talk to publics and HEB and some of the the Trader Joe's, mean, are they are actively growing. And so they see things very positively. And so I would say our feedback overall is that the grocers are thinking long term, they're very positive about what the environment is today and their ability to pass on increases in cost. To the consumer they're always going to be nervous because they're nervous all the time and they should be because it's a tough it's a really tough business. But they're really good at it and they're great partners for us the shopping centers that we have.
Omotayo Okusanya: That's helpful. And then how do you think about when we kind of think about sources and uses of capital how does potential stock buybacks kind of fit into the equation at kind of current stock prices?
Jeffrey S. Edison: The way we look at it is a tool. Just like selling properties, just like raising public equity. And it's a tool to be used at the right time when you when it's the best investment and the best use of your your free cash flow. So that's the way we think about it. We so it's it's one of the tools and we wouldn't be hesitant to use it at the right time. And But we're not also eager to use it if we particularly environment where we are today where we have really good uses of our capital that we think we can grow significantly. So that's it's a great question and it is one that is part of our sort of regular conversation about where we should be depending on where the stock price is.
Omotayo Okusanya: Got you. And then one quick last one for me. How do we think about that position Again, you already had $376 million year to date guidance $350 to $450. I'm just kind of curious whether there's some conservatism in that number or the way 4Q is shaping up. There may not be a lot of deal activity.
Jeffrey S. Edison: I would say, $100 million a quarter is pretty decent activity and we'll we that gets us to $400 million for the year. We feel which is the midpoint of the guidance we feel good about that. And I wouldn't be overly feel more a lot more aggressive than that we would we change guidance and we but we don't feel that we won't meet that either. So we're we think the guidance is a pretty good place to be looking at.
Operator: Thank you very much. Your next question comes from the line of Todd Thomas with KeyBanc. Please go ahead.
Todd Thomas: Hi, thanks. First question, just regarding dispositions. You commented it sounds like next year will be will be higher than this year's $50 million to $100 million target. Is there a segment of the portfolio or kind of a larger portion of the asset base that you ideally would like to recycle out of? Is there any insight around much you might look to sell over time and also whether the plan is to sell assets on a one-off basis or if there could be some larger transactions perhaps given the increased competition that you're saying?
Jeffrey S. Edison: John, do you want to take that one?
John P. Caulfield: Sure. And then Bob, you can after that. So Todd, I would say that, you know, we're looking at multiple ops because I think we do think that as there is great competition for grocery-anchored shopping centers in the market, there are a lot of them that we've taken to stabilize place. And there are buyers out there that are just interested in more of a completely solved button-up solution. So that is something you're gonna see. I think you will see us sell more next year. It's hard to say because, again, similar to the acquisition timing, it can move quarter to quarter or things like that. I wouldn't say, and this is where Bob will come in, I I wouldn't say we're looking at anything specific on an an individual region or things. It's more the IRRs. It's that if we look at forward and realize that we've taken most of the or achieved most of the growth, in the asset that we will look to sell that. And I think we look to sell it individually or as a portfolio. Bob, anything more?
Robert F. Myers: Yeah. I'll just add that I think we'll end up selling between $100 million and $200 million next year. And I believe that it will all be done on one-off basis. So I don't see a portfolio there because we do want to be very surgical being active portfolio managers. So Jeff touched or Jeff and John touched on it, but certainly 100% stabilized assets that when I look at our forward IRRs would generate 6.5-7% returns. We think we can replace those assets with these 9%, 9.5-1 unlevered return deals and pick up 200 basis points in spread over the long term. That's what we're focused on and that will be our strategy.
Todd Thomas: Okay. Got it. So so it sounds like little more of an ongoing portfolio sort of asset management process just to you know, the plan is to remain net acquirers just sort of prune the portfolio over time by selling lower growth assets and and upgrading quality. And improving growth.
Robert F. Myers: Yeah. It is. I think that makes a lot of sense.
Todd Thomas: Yeah. Okay. And then, my last just for for John, real quick. Can you just talk about the drivers behind the interest expense decrease underlying the updated guidance? And are there any updates on the swap expirations in November and December?
John P. Caulfield: Sure. So the, with regards to the the guidance and interest rates, I mean, I think part of it was conservatism for us and and then the timing of the acquisitions relative to the guide. I don't think there's anything much much farther than that. With regards to the swaps, you know, we're we're 5% floating today. If those burn off and nothing changes, we can be about 15% floating today. We do have a long-term target of about 90%. Ultimately, those if they went based on where today's rates are and no further cuts, they'd be kind of around 5.3%. You know, we can issue in the long-term debt markets wrong 5%, but I think we are in a position now where interest rates are coming down. Down. At least that is the perspective of the market. And so we were gonna do what we do, which is we are looking opportunistically at extending our balance sheet. We do like the idea of being a repeat issuer in the long-term bond market. And and that's where there'll be capacity. So I think we're comfortable right now with if those expire and we remain floating with that floating rate, but we will be looking to access the bond market out point out we don't have any meaningful maturities until 2027. And we our actions will be consistent with what we've done in the past.
Todd Thomas: Thank
Operator: Your next question comes from the line of Cooper Clark with Wells Fargo. Please go ahead.
Cooper Clark: Great. Thanks for taking the question. Just given the supply backdrop and current strength in the leasing environment, curious how we should think about long-term upside to NOI growth on an occupancy neutral basis as you capture upside on spreads, improve escalators and other lease structures?
Jeffrey S. Edison: John, do you want to break I think that's probably best broken down in terms of what we see as the pillars of that growth.
John P. Caulfield: Cooper, I think the pieces for us is we're going to look to deliver 3% to 4% on a long-term basis. You know, our our rent bumps are 110 basis points. And and I'll point out that that's up I think, 50 basis points over the last couple of years. So we think that we've got good continued growth there. And our leasing spreads continue to be very strong on both renewal and a new leasing basis. So I think as we look at it, there's a combination of the new leasing, the rent bumps, the development that we're able to do on the outparcels that are already part of our existing properties to really drive that towards that, know, keeping us in that 3% to 4%. I think that we will continue to buy assets that Jeff or Bob referenced earlier, with occupancy availability that'll allow us to kind of continue that momentum move up from there. Bob, I don't know if you have anything you wanna add.
Robert F. Myers: I don't have anything to add, John.
Cooper Clark: Great. And then you noted, though, you expect that $100 million and $200 million of dispositions next year. Curious how we should think about additional funding sources in your current cost of capital with respect to the $350 million to $450 million annual long-term acquisitions target?
John P. Caulfield: Yeah. John, do you want you want to just give the the latter on Sure. As as we had said on the call, I would say, you know, funding sources are gonna be the 100 over a $100 million of free cash flow that we generate and retain after the dividend. Which I would also highlight we just raised almost 6% this quarter. We have the cash flow that we generate. We have the growth in the base. We are levered at 5.1 times in the last quarter annualized. And this disposition is going to allow us to recycle at using management strategies like Todd just talked about. That is going to be able to drive us and propel us forward in executing our growth plans.
Cooper Clark: Great. Thank you.
Jeffrey S. Edison: Thanks, Cooper.
Operator: Your next question comes from the line of Floris Van Dijkum with Ladenburg. Please go ahead.
Floris Van Dijkum: Hey, guys. I've got two two questions. By the way, so you guys had, I think, it 23% almost 23% renewal spreads But if you look at your overall spread, there were only 13% because I think 46% of your leasing activities were options. Can you and obviously, what would the growth have been if you didn't have those options? What would the growth have been in your same store NOI And what are you doing in terms of your you know, new leases where are you limiting, you know, options, etcetera, so that you can, you know, mark to market more rapidly?
Jeffrey S. Edison: So, Bob, want to talk about the options? John, do you want to talk about the what Flores was by the way, hello Flores. Good to hear your voice. And the on the options and then John, if you could just kind of walk through what that impact would have been without the so the growth without options.
Robert F. Myers: Sure. Floris, good to hear from you. And great question on the options. This is absolutely an area that we're very focused on, on structuring any new renewal or any new lease. Is something that we've approved over time. I know directionally for our team, I give direction that we don't want to give any tenants an option unless there's a 25% increase in the option period. The challenge with it is national retailers are making a large investment in this space So they do want to have options, three, five-year options as an example. And they certainly want to negotiate that number. But as a foundation to our strategy, you know, we're always starting with no options. And, you know, there's a lot of reasons why we say that because as the landlord has nothing to gain from it. So we want to push back hard on that. As as we negotiate options.
John P. Caulfield: And with regards to the math, I would say that it's it's tough because the option, the biggest portion is coming from our grocers isn't part of the strategy as we look back at the combined leasing spread of all of it, it was 16% last quarter. It's 13% now. I think as Bob said, we have strategies to do that. But I do think this is where the compliments come in of more neighbors and other ways. But, you know, the new leases was almost 30% over the last twelve months and 21% on renewals or less so in the volume of footage is about the same. So you'd had 25% net growth. Instead of the 13% net growth adding to your NOI. So it's very strong, but I do think the options are something we try to mitigate, but but are still, you know, part of the part of the portfolio.
Floris Van Dijkum: Thanks, guys. John, I appreciate that. We've Can I my follow-up question is regarding and maybe I get your view on cap rates? I mean, we hear that cap rates for grocery anchors are very low relative to other retail types. You've been able to acquire an average 6.7% cap rate. Jeff, what is your view on what's going to happen to grocery-anchored cap rates they going to go up or are they going to go down? And then also, what is your appetite for you know, if there is such strong institutional, appetite, maybe maybe doing a larger JV with part of your portfolio. To where you benefit from, you know, getting management fees maybe not for your lowest growing assets, but, you know, to to to free up some more capital and to prove to to the market that your stock is undervalued?
Jeffrey S. Edison: Alright. That that Lars, you asked, like, four questions there. So let me let me start with the, you know, the the the supply demand dynamic right now is it's fairly stabilized. We don't see a major compression in cap rates from where we are right now. It will be by segment. And again, when we generalize about cap rates, it's a broad brush you're painting with because it really as you know, it's a market by market event and it's going to be very different in the Midwest than it's going to be in Florida. And you've got a lot of variety to talk about there. But I mean, think generally, would say that the supply demand dynamic is fairly stabilized and the the amount of product coming on the market is taken care of the increase in demand. From some of the primarily institutional players that have sort of come into market and added a additional capital into the market. So that would be the our answer on that. In terms of JVs, I mean, we do have two active JVs that we're growing. We do see that as a way of having growth and getting better returns as you point out through the fee structure and owning less of the overall equity. So that is an opportunity. It's not a major part of our business. But it is an opportunity to continue to find places to put the PECO machine to work and create value. And that's what we do and that I think that will be continued to be something that we look at. And And we'll look at our disposition program too because there are other ways to take assets that are slower growth, but that would be we'd like to own a long-term basis and maybe take a little less equity in those. So those are all things that we're looking at. As opportunities in a market where the values are compressed in our space So we've got a lot of options and we'll continue to use those.
Floris Van Dijkum: Thanks, Jeff.
Jeffrey S. Edison: Yep. Thanks, Lars.
Operator: Your next question comes from the line of Hong Zhang with JPMorgan. Please go ahead. Hong, your line is open.
Hong Zhang: Hi. Can you hear me?
Jeffrey S. Edison: Yep.
Hong Zhang: Yeah. We got you. Oh, cool. Thanks. I guess just just a question on funding your acquisition pipeline from next year. You've traditionally funded your acquisitions through with with majority debt. I I guess what is the thinking around changing that composition to be more with dispositions next year, especially with rates falling where they are. Because correct me if I'm wrong, but once you get more of a spread, if you were to fund fund your acquisitions on debt currently,
Jeffrey S. Edison: I'll take the first and then John you can the question. We are we always have been and will continue to be focused on keeping a really good balance sheet so that we can take care of we can take advantage of our opportunities as they arise. That doesn't really change based upon exactly where the rates are. We're really focused on making sure that we have the right depth of capacity. Right now, we have capacity in terms of our target of 5.5. But that's going to be used when we have great opportunity. And that's we are very protective of our balance sheet. So John, do you want go on to talk a little bit about dispose and how we use that?
John P. Caulfield: Yeah. Hong, the piece that I would say is that at 5.1 times in the last quarter annualized and a long-term target of 5.5x, We do think we have capacity there in addition to the $100 million of cash flow that we retain. The other piece I would say is that we believe that on a leverage neutral basis, we can buy $250 million to $300 million of assets a year So leaning into disposition gets to what Jeff was saying, which is that in a market where we believe there are great acquisition opportunities, and an opportunity to recycle assets that we have achieved and stabilized the growth plans that we have that's something we're going to do. So when we talk about the dispositions, it is balanced based on the acquisition opportunity. We have a very solid portfolio and nothing that we're you know, that's melting that we're looking to get rid of quickly. So we're gonna be thoughtful and prudent but it's ultimately so that we can recycle into better IRRs and and that kind of balanced balanced plan. Got it. And then I guess I guess just on thinking about the cap rate on your potential disc dispositions. I mean, you've talked about selling, I guess, stabilized centers. I guess, could you you give a general range of what cap rate those centers would trade out today?
Robert F. Myers: Yeah. I'll take that one. Go ahead, So based on some of the assets that we currently have in the market, we believe that the assets will trade anywhere between a 6.3 and a 6.8 Got it. Thank you.
Operator: Your next question comes from the line of Paulina Rojas with Green Street. Please go ahead.
Paulina Rojas: Good morning. Among your early positions, you you had the sale of Point Loomis, which to my knowledge, included a Kroger store that recently closed And I understand the buyer is a small grocery operator. So when you consider the sale price of that property, how do you think the store's closure impacted value, if at all? Compared to what it might have been had Kroger not closed?
Jeffrey S. Edison: Well, Pauline, it's thank you for the question. Bob, do you want to talk about Point Loomis? A great story, actually.
Robert F. Myers: Well, it is a good story. I mean, it's an asset that we've owned now for I believe, around eight years. And we ended up doing some redevelopment in the parking lot and build a little small outparcel development. We had a really nice bank, Chase Bank. We had Kohl's as an and then we had Pick n Save. We knew that Pick n Save was struggling for the last I would say five to seven years. So we had worked with them on two-year renewals. And finally came to a point when they announced that they were going to close those 60 stores that this would be on the list. So it wasn't a surprise. The good news is that we did have another grocer lined up who was an owner-operated operator that that purchased it that we've recently closed. So it was time for us to move on from the asset and we did well with it. And I think specifically, Jeff may have a different answer than I do on this, but I think when you lose a grocer like a Kroger, it could certainly impact your cap rate 100 to two fifty basis points.
Jeffrey S. Edison: Yes. The only thing I'd add there, Bob, is once you know that the grocer is in trouble, which we've known for seven years, The cap rates already changed. So you're not going to not going to see 200 basis point change in that cap rate the day that they close. It will have already happened. And that's what happened here. That's when we bought the property, we bought it at a cap rate that was very high. And so it was we were we knew we were taking on that risk from the very beginning. That's why we've made a lot of money on that property, even though it didn't it's not very pretty, but we made a lot of money on it. So that is how we you know, the the we think about it. And that's why you've gotta be very you got to be thinking really long term because the the moment there is question about the grocer, that's when the cap rate hits.
Paulina Rojas: Yeah. That that makes sense. And somehow related a little bit, but regarding the the new development that you mentioned, I think I heard an IRR of around expected IRR around 10%. And I also believe you mentioned that you plan to sell a portion to the grocer and so I presume you will focus on on small shops mostly in that center. And and my question is, how much would your IRR defer if if you retained ownership of the grocery store rather than selling it to the to the retailer. Right.
Jeffrey S. Edison: So, we are going to answer that question December 17 for you We really we can't really answer that. I think we really want to answer that right now. Early and we want to make sure that we're far off on. But your point is well taken. If we had to grow if we kept the grocer the IRR would be less. But we'll get we'll talk more about that in in December. If that's okay.
Operator: Your next question comes from the line of Juan Sanabria with BMO Capital Markets. Please go ahead.
Juan Sanabria: Hi. Thanks for the time. I'm just curious if the plan for '26 may include moving the acquisition volume or focus more towards that unanchored given presumably higher yield or or if that's not necessarily the case. And and as part of that do the unanchored centers that you're interested in buying also have that previously mentioned occupancy upside? Or is that not part of that particular story? Yeah.
Robert F. Myers: No. That's yes. That's a great question. And answer the question, we're going to speak more in December in terms of our guidance next year. But early indications would suggest that we'd be in the same ZIP code of where we were at this year. In terms of the unanchored strategy, we are going to look more aggressively in that category next year we are already seeing great results from it and better returns. So I can't tell you specifically if we'll buy $100 million or $200 million of the product next year, but we are finding there's 65,000 opportunities in the market in that category and given our operating expertise, we feel like this something that we can step into. So we'll be highly selective. We'll be solving for above 10% unlevered returns in the strategy. But again, I just think it's a very solid complement to what we're doing.
Juan Sanabria: Okay. And then just the last one for me. G and A went up the guidance there. If you could just provide a little color as to why and how we should think about growth should it '26, is that more in line with inflation? Is there any sort of tech or other type of investment opportunities you're looking at that may seem to increase it higher a bit. Relative to history next year.
John P. Caulfield: Sure. It it's primarily related to performance-based incentive compensation. Ultimately, last year, our growth was lower, and and therefore, you know, we have, an environment that we incentivize for results and so you're seeing improvement in that. As well as investments as we talked about in in in technology and resource that are going to allow us to scale as we look forward. So when I I think about going forward, you know, I I would think we would be, you in this range here. I still think that we are quite efficient when we look at it on a variety of metrics. But the key piece for us is gonna be driving that mid to high single digit FFO per share growth. Going forward?
Operator: Your next question comes from the line of Richard Hightower with Barclays. Please go ahead.
Richard Hightower: Hey. Good afternoon, guys. Thanks for squeezing me in. I think, just one for me, but maybe put a a different twist on Juan's question You know, you you guys have mentioned it a couple of times on the call, so it's strikes me as as something that's fair game. But when you when you acquire assets, with, you know, fairly significant occupancy upside, you know, does that represent sort of a material component to the long-term three to 4% same-store NOI target. And then, you know, is just just so I understand it, is there any sort of qualitative element about the asset in particular or or even in general, you know, where you have sort of low occupancy going in, is there is there anything to read into the quality of the assets or the location, you know, when that circumstance occurs? Thanks.
Jeffrey S. Edison: I don't know, Bob, you want to take sort of the qualitative part? And then John, maybe you can talk about the impact on the of the lease up.
Robert F. Myers: Yeah. I definitely believe that the strategy is to find assets. And if you look at what we've acquired, the eight so far, we've been anywhere from 82% occupied to about 100%. So it's all over the map. But there's so much criteria that goes in the decision based on our thirty years of experience and then the growth in the market and the criteria around foot traffic configuration and upside. So we certainly right now we're at like a 6.7%, 6.8% cap rate on what we've acquired and we're in the mid-10s on the unlevered return And certainly, our average around 92% occupied on a blended basis will help us get to those returns. I wouldn't say that there's any quality creep or actually the markets that we've acquired in have stronger demographics, than our core portfolio. So we are staying very disciplined disciplined in terms of what we're buying and we feel really good about it.
John P. Caulfield: I think as it gets to the NOI growth, one of the pieces that I would highlight is a lot of times you know, that asset class doesn't have the exclusives or option that some of the larger ones do. But ultimately, we look to our forward NOI growth, the I think this gets a little bit to why we we don't often try to talk about cap rates and we're IRR buyers because there's a direct, you know, tie or, you know, between the going in cap rate and ultimately where what the growth in that asset is. I think the other piece that I would say from a quality standpoint is true on all the assets that we acquire. We're looking at inefficiencies in the market. Ultimately, for undermanaged assets, where an experienced operator with the capital to invest in the asset and the platform that has the leasing expertise and the legal expertise to really maximize the value there, that is what is really driving the IRR growth that we have. And so I think these are those and all of the growth rate anchored assets that we acquire are really, you know, just kind of pushing through that that PECO way of of delivering on the growth, and that that's where we excel.
Richard Hightower: Okay. Great. Thanks for the color. This concludes our question and answer session. I will now turn the conference back to Jeffrey S. Edison for some closing remarks.
Jeffrey S. Edison: Thank you, operator. So in closing, the PECO team continued our solid performance in the third quarter. And we're pleased to increase our full-year 2025 earnings guidance for NAREIT FFO and core FFO per share. Because of our grocer-anchored neighborhood shopping center format, and our unique competitive advantages, we believe PECO is able to deliver mid to high single-digit core FFO per share growth annually on a long-term basis. The PECO team remains focused on delivering on this expectation and driving value at the property level. Given our demonstrated track record through various cycles, we believe an investment in PECO provides shareholders with a favorable balance of quality cash flows, mitigation of downside risk, and strong internal and external growth. In summary, we believe the quality of our cash flows reduces our beta and the strength of our growth increases our alpha. Less beta, more alpha. On behalf of the management team, I'd like to thank our shareholders, PECO associates, and our neighbors for their continued support. Thank you all for your time today. Have a great weekend.
Operator: Ladies and gentlemen, this does conclude today's conference call. Thank you for your participation and you may now disconnect.